Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Paylocity Holding Corporation's Second Quarter 2021 Fiscal Year Results Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded 
Ryan Glenn: Good afternoon, and welcome to Paylocity's earnings results call for the second quarter of fiscal year 2021, which ended on December 31, 2020. I'm Ryan Glenn, Vice President of FP&A and Investor Relations, and joining me on the call today is Steve Beauchamp, CEO of Paylocity; and Toby Williams, CFO of Paylocity. Today, we will be discussing the results announced in our press release issued after the market closed. A webcast replay of this call will be available for the next 45 days on our website under the Investor Relations tab. Before beginning, we must caution you that today's remarks, including statements made during the question-and-answer session, contain forward-looking statements. These statements are subject to numerous important factors, risks and uncertainties, which could cause actual results to differ from the results implied by these or other forward-looking statements. Also, these statements are based solely on the present information and are subject to risks and uncertainties that can cause actual results to differ materially from those projected in the forward-looking statements. For additional information, please refer to our filings with the Securities and Exchange Commission for the risk factors contained therein and other disclosures. We do not undertake any duty to update any forward-looking statements. Also, during the course of today's call, we will refer to certain non-GAAP financial measures. We believe that non-GAAP measures are more representative of how we internally measure the business, and there's a reconciliation schedule detailing these results currently available in our press release, which is located on our website at paylocity.com under the Investor Relations tab and filed with the Securities and Exchange Commission. Please note that we are unable to reconcile any forward-looking non-GAAP financial measures to the directly comparable GAAP financial measures because the information, which is needed to complete a reconciliation is unavailable at this time without unreasonable effort. In regard to our upcoming conference schedule, Toby and I will attend the KeyBanc Emerging Tech Conference on February 25, and Steve and Toby will attend the 2021 JMP Technology Conference on March 1 and Toby and I will attend the Raymond James Institutional Investors Conference on March 2. Please let me know if you'd like to schedule time with us at any of these events.
Steve Beauchamp: Thank you, Ryan, and thanks to all of you for joining us on our second quarter fiscal 2021 earnings call. Our solid results continued in the second quarter of fiscal 2021 with second quarter total revenue, $146.3 million, an increase of 10.5% versus the same quarter last fiscal year, and coming in $3.3 million above the midpoint of our guidance, despite continued COVID related headwinds. Recurring and other revenue grew by 13.6% and we continue to be pleased with our sales performance across our entire market amidst a still challenging macroeconomic environment with the resurgence of COVID cases and as many states ramped up mitigation efforts through Q2. Despite these COVID related headwinds, we still had strong selling season and are pleased to have started more business this January than last January. As mentioned on our November call, our sales teams have successfully pivoted to a virtual selling environment and continue to realize the benefits of improved website performance and digital lead generation, use of video throughout the sales cycle, as well as increased multi-media connection points with prospects, including podcasts and webinars. The accelerated investments we've made through the pandemic in digital marketing efforts include enhancing our website capabilities increased focus on search engine optimization and prospect nurturing campaigns will all continue to serve us well as macro economic conditions normalize. Similar to last year, we continue to see unit strength coming from clients with under 50 employees, as well as healthy momentum in the core and upper end of our market, which was a year-over-year total client growth of 19.5% through Q2. Channel referrals, primarily from benefit brokers and financial advisors once again represented more than 25% of new business in Q2 led by increased use of virtual broker connection activities, events, and virtual gatherings that helped us maintain strong channel referral levels. Adjusted EBITDA for the second quarter was $35 million or 23.9% margin, which exceeded the midpoint of our guidance by $7 million. We are pleased with our ability to be efficient with our operational and G&A costs while we remain focused on incremental investments in research and development and sales and marketing initiatives in fiscal 2021 to continue our momentum in product and sales and to position us for driving future growth once we return to a more normalized macroeconomic environment.
Toby Williams: Thanks, Steve. Total revenue for Q2 was $146.3 million, an increase of 10.5%, recurring and other revenues up 13.6% from the same period last year. As Steve noted, we were pleased to come in $3.3 million above the midpoint of our guidance despite the continuing COVID-19 related headwinds. Our adjusted gross profit was 68.8% for Q2 with continued pressure from both COVID-19 and interstate related headwinds. We continue to make significant investments in research and development, and to understand our overall investment in R&D, it is important to combine both what we expense and what we capitalize. On a combined non-GAAP basis total R&D investments were 15.9% of revenue in Q2 and on a dollar basis our year-over-year investment in total R&D increased by 22.3%. On a non-GAAP basis sales and marketing expenses were 23.1% of revenue in Q2, as we remain focused on making incremental go-to-market investments in fiscal 2021. On a non-GAAP basis, G&A costs were 13.4% of revenue versus 14.9% in Q2 of last fiscal year, and we remain focused on consistently leveraging our G&A expenses on an annual basis. Our adjusted EBITDA was $35 million or 23.9% of revenue for the quarter, which exceeded our guidance by $7 million at the midpoint. We remain committed to progressing towards our adjusted EBITDA target of 30% to 35% of revenue once we returned to a normalized macroeconomic environment. Covering our GAAP results for the quarter, gross profit was $1.8 million, operating income was $6.4 million and net income was $9.6 million. In regard to the balance sheet; we ended the quarter with cash, cash equivalents and invested corporate cash of $232.3 million. We're pleased with our performance in Q2, which included another strong quarter for our sales team, helping us beat the top end of our revenue guidance. From a cost perspective, we remain focused on incremental investments to drive growth, while also identifying opportunities to demonstrate scale and G&A costs and we're happy with the progress we've made to that end in Q2. In regard to client held funds and interest income. Our average daily balance of client funds was $1.5 billion in Q2. We're estimating the average daily balance will be approximately $1.8 billion in Q3 and we assume an average yield of approximately 5 basis points to 10 basis points in the third quarter. Before reviewing guidance, I would like to provide some additional context on the current operating environment. As Steve mentioned, we continue to be pleased with the performance of our sales fiscal year and this past quarter. We are also pleased with the performance of our operational teams as we started more business this January then last year in the face of a still challenging COVID environment and our service teams continue to help clients navigate new legislation.
Operator:  Our first question comes from Brian Peterson with Raymond James. Your line is open.
Brian Peterson: Hi gentlemen. Congrats on the results and thanks for taking the question. So first off, just higher level from COVID, in terms of the go-to-market and it sounds like this is a really strong on-boarding quarter. What lessons would you say that you've learned in terms of selling and on-boarding customers? I'm just curious if there's any to learn from that going forward and how you guys are relating to your customers?
Steve Beauchamp: Yes, sure. I think as we said in the prepared remarks, we've been pretty happy with how resilient the sales team has been. Obviously there's a lot of industries in the market that are affected by COVID and the shutdowns. It is a huge market for us and so the sales team, I think, has pivoted really well to focus on those industries that are less affected, and then be able to deliver very similar growth to what we had last year through the first six months of the year. And so I think the lessons learned are that you can do a little bit more virtually and then maybe we would have done before and they've done a great job really managing the whole sales process in a virtual fashion, keeping people engaged and interested. And I think that we will get back to a time where there'll be face-to-face with customers again, but we'll be able to leverage this experience that we've learned virtually to be able to sell, and maybe a little bit more of a hybrid world post-pandemic.
Brian Peterson: Thanks, Steve. And maybe just another one, when you think about the new customers that are coming to the platform, has that changed over the last couple of quarters? I'm just curious if this displacement Greenfield, I'm just curious what you're seeing here in terms of the new customers added?
Steve Beauchamp: No, I don't think a lot has changed. I think you probably feel a little bit less customers from the industries that are impacted the most just because they've got other bigger priorities in front of them, although you definitely still see some customers from those industries like hospitality, making the move. We were very automated in terms of how we interacted with customers prior to the pandemic. So everything was being done, remote. Our implementation specialists didn't typically spend much time on site. We have remote tools that we interacted with clients. We trained them that way, and so I think all of that has been relatively seamless. I think the last comment I would make is there was just sometimes there's a little bit more disruption on the client side. And so, we've had to do some extra work for them at times to get them up and running and really making sure that, clients are starting on time. There's a little bit more delays because of COVID and that might just because the person on the other end might have personal issues or their business might be more impacted. And so we've seen in places where there's a little bit delay in starts, but we're still able to get all those customers started and do that very efficiently.
Brian Peterson: Great. Thanks Steve.
Operator: Thank you. Our next question comes from Scott Berg with Needham. Your line is open.
Scott Berg: Hey, Steven, Toby and Ryan. Good quarter. Thanks for taking questions. I guess we got two here, Steve. I know we've talked over the last six months or so, it was certainly highlighted at your fall customer conference about engagement in your platform increasing as the Paylocity platform is kind of been a central communication hub. I guess, as you look back over the last, maybe 9 to 12 months since the pandemic; are you seeing that engagement alter or make changes to what your customer retention rates are today?
Steve Beauchamp: Yes. That's a great question. We continue to have over 92% customer retention, and I'm really proud of the job our team has done, staying engaged with our customers through this difficult time with a bunch of changes in legislation, a ton of questions from our customers. And we're really happy with where we sit from an overall client retention perspective. So I don't think we've necessarily seen that move that needle meaningfully. But what we have seen though during the pandemic is customers start to use more of the features that we've delivered to them, particularly more of these modern features such as community, as you mentioned, and then add-on the video capabilities on top of that. And so we see also other leaders within the organization start to use some of these capabilities. So rather than just the HR team, you might see their C level folks actually using our announcement capability and our video capability or managers of their teams interacting in groups. And so it's been really interesting to see the types of activity we see on our platform, expand over a lot last calendar year.
Scott Berg: Got it, and helpful. And then I guess from a follow-up question perspective, you obviously serve a customer base that's relatively wide at the end of the day. Customers may be as low as 20 employees, I don't maybe have a few that are smaller than that, but certainly the customers that have 500,000 or maybe more than 1,000 employees, I guess, as you look at that kind of span, is there a segment or two that you've seen drive maybe better net new customer additions over the last quarter or two. We think the trends are pretty strong across the space in general, but I just didn't know if one of those segments you would call out maybe particular having better strength?
Steve Beauchamp: I think the interesting thing is, if you look at the unit growth and that's one of the reasons we want to provide that data is pretty consistent with where we were last year and we're getting customers in call it the under 50 market at fairly similar rates, from a growth perspective, the core market's been strong for us, kind of that 50 to 500 space. And then last year I called it the fact that we were doing a little bit better than we had previously in that 500 plus space. And I think that has kind of continued so well. I really feel good about the salesforce is that we're seeing, really resilience across the board and that we're actually onboarding a very similar number of customers from a growth perspective than we were last year.
Scott Berg: Great. That's all I have. Thanks for taking the time.
Operator: Thank you. Our next question comes from Terry Tillman with Truist Securities. Your line is open.
Terry Tillman: Yes. Gentlemen, can you hear me okay?
Steve Beauchamp: Yes, we can.
Terry Tillman: I'm just curious, Steve, maybe big picture question. I mean, same page is interesting because it kind of – you're delving into potentially every desktop, potentially usage all day long. Collaborate work management is a pretty broad market. What are the conversations like? Are you like, hey, you need to modernize your core HR and your payroll. And so we did help you with that. Oh, by the way, look at this same page thing. I'm not trying to sound flip it anything, but I'm kind of about the same page because it actually does kind of get you into another potentially interesting, almost stand-alone market. And then I have a follow-up.
Steve Beauchamp: Sure. Well, I think the example I would give you is when we first launched community, one of the things that we thought our customers were asking for was the ability to really manage announcements because the reality is different parts of their organization might be using different tools. And so the HR team wanted to be able to make sure they were giving benefit updates, they're announcing policy changes and they were reaching all of the employees and making sure they get that notification on their phone and get the analytics behind that. And so that really drove us to actually create community because we felt like this announcement capability is going to be at the core of it. That is exactly what we saw in terms of utilization. The interesting thing we saw then was people wanted to actually include links to YouTube videos. They wanted to include additional content. They saw employees reacting sometimes with emoji, sometimes with comments. And so that kind of led us to believe, video could play a bigger role here, not just in announcements, but in broader community across the platform, because the HR teams really started to use it for communication. And then the reason I give you that background as we introduced groups and the idea behind a group is it could be your team. It could be a group of people working on a project. It could be just a group of people with a common interest in it could just be fun. And we started to see increase utilization there. And within those groups, we started to see people asking for collaboration opportunities. And so that's what led us to look at same page capabilities and bring them into the full, could really enhance groups in collaboration capabilities. And the reality is the way we develop product is we listen and we learn in terms of how our customers use it. And then we just continue to add features based off their demand. And I see that when we get to the point that we launch a collaboration capabilities on top of community, within groups, we're going to learn how our customers use it and we're going to continue to expand on it. And that's always been our product philosophy.
Terry Tillman: Got it, understood. And I guess my follow-up is, you're talking about digital marketing and it's fascinating through this pandemic on B2B selling and how it's evolving and it's really – there's a lot of innovation going on, but I'm curious from yours perspective, you have been using probably plenty of digital marketing tools in the past, but in terms of refining and making new investments, where are you seeing some kind of payoffs or some observations, whether it's – it's driving more of that sub-50 or it's driving more traffic altogether. And just – is there anything to be said maybe about – maybe the cycle time speeds up with more automation? Just any kind of takeaways or observation so far?
Steve Beauchamp: Yes. So I think fortunately we had done a pretty good investment in terms of our new website and some of the branding that we launched really last spring. And we were able to leverage some of those capabilities to put more muscle behind our digital efforts. What I would say is you need a bunch of variety of content, right? So we've got podcasts available people, we've done seminars and webinars on legislation changes. We've done seminars and webinars on social movements that you see in the industry. And so you've really got to be able to connect to the topics that are real-world and top of mind, and you've got to do it in a variety of channels, eBooks, email marketing, all mediums. And so I think that's something that we've expanded a fair amount through COVID. It's really – we've benefited from the lead generation, that's come from it. And then once you get that lead in and you're working with that customer, you've got to find other ways to stay connected during the sales process. And I think probably one of the bigger surprises for us is we've used a lot of asynchronous video where we're recording videos, demo or after an initial meeting with our client. And we actually use our own video platform to be able to do that. And that I think is really helped create momentum and keep that sales cycle moving, which, as you know, for us – for average size customer, still 30 days to 60 days, it still happens fairly quickly. And so we've become adept at using all of those tools probably faster than we would have if it wasn't for the environment around us.
Terry Tillman: Thanks, solid job.
Steve Beauchamp: Thank you.
Operator: Thank you. Our next question comes from Brad Reback . Your line is open.
Brad Reback: Great. Thanks very much, Steve, as you're talking to existing customers, any sense what they're waiting for to start adding back employees? What types of things they're looking at?
Steve Beauchamp: Yes. What I would tell you when we look at the data, right, because we've got a lot of customers and we examine, where customers are significantly different in terms of whether it's the number of W-2s they produce, which we called out impact of that. Because they've hired less all the way throughout the year, or they're just at a lower employment level, you will find those ineffective industries, right? You find those in hospitality. You find those in retail. You find those in all the places that you would expect, and they're ultimately in many cases fighting different types of restrictions that make it very difficult for their business to operate. And so, I think we feel optimistic that as the vaccine roll out, continues to gain momentum and that businesses are allowed to open at capacity levels that was consistent with prior. Then we'll start to see the benefit from that, but that's largely the message. We don't usually hear from clients saying I'm waiting for something to do a whole bunch of hiring. I'm waiting for my environment to change around me and the customers to come back, and then I'm going to back that up with the hiring, I need.
Brad Reback: Great. Thanks very much.
Operator: Thank you. Our next question comes from Matt Pfau with William Blair. Your line is open.
Matt Pfau: Hey, guys. Thanks for taking my question. Just one for me. Wanted to ask about the current COVID relief bill that was passed under the Trump administration; you discussed that a bit and the functionality that you've added for that? And then obviously there's another one here potentially going to be passed under the Biden administration; but how does that impact you from a business perspective? Does it help drive new business? Do you see additional inbound when these kinds of bills get passed or is there an additional revenue for you associated with that at all?
Steve Beauchamp: So I think generally speaking, legislative change it's fairly challenging for the market that we serve to be able to manage, absorb and understand. And so you saw that all the way back to ACA and through the most recent legislative changes. So we need to be there for our customers, with content. We need to be – they usually call us and ask us more questions or email us and ask us more questions. And so we've got to do a lot of training when that happens. I think that's probably the place what's the biggest impact is to do a really good job for your customers. So they understand it. Because in this case, they have to make choices in terms of what they're going to do in reaction to that bill, particularly the first iteration of the bill. And so that's something that we spend a lot of time on. I wouldn't tell you that it's different. I think ACA did have a bit of a tailwind into the market when you go back several years ago. I'm not sure that that's the case with what we're seeing right now. This has been enacted so quickly that everyone just has to go into reactive mode. Whereas something like ACA, you had a long time for prepare for it. You had to think about how you're going to manage it. This is happening so quickly that I don't see a demand creation, but just really an opportunity to show your customers how much you can help them.
Matt Pfau: Great. Thanks guys.
Operator: Thank you. Our next question comes from Bryan Bergin with Cowen. Your line is open.
Jared Levine: Hi, this is actually Jared Levine on for Bryan. I have two for you. So the first, how did the booking momentum progress in the quarter following the record sales month in October?
Steve Beauchamp: Yes. So, I think overall we've sold more than last year. Now, last year, we were on a very strong pace. Prior to the pandemic, we were growing new bookings kind of 40% year-over-year. We're definitely not at that type of pace. We are still selling more than we did last year. So in some ways you do kind of set records when you're selling more than you do last year. So that momentum has actually continued. Year-end is really important to us, right? So we start more business in January than any other month. And then the several months prior to that is kind of our selling season and we were pretty happy with the volume of customers that we were able to onboard. And you kind of see that through the first two quarters with nearly 20% unit growth and that momentum continued through selling season.
Jared Levine: Got it. And then in terms of the new unit strength in the sub-50 employee space that you noted, was there a skew towards that more emerging markets of sub-20 employees, or was it pretty balanced between the sub-20 and then 20 to 50 in terms of new units?
Steve Beauchamp: No. What I would tell you is, I don't think that the size of the customers has meaningfully changed that we've been bringing on. So that mix has been fairly consistent. Now admittedly, the market as a whole has less employees, right? So there's an employment impact to both your current clients and the customers that you're bringing on. But other than that, we've been focused on the same size customers, and we've been having success from 20 all the way to 2,000.
Jared Levine: Got it. Thank you.
Operator: Thank you. Our next question comes from Mark Marcon with Baird. Your line is open.
Mark Marcon: Good afternoon and congrats on the number of new unit wins considering the environment. I'm just wondering just to be 100% clear, so when we talk about a 19% increase in terms of the number of units that were brought on. Is that across the board, in other words was it primarily skewed by the below 50? Or was it across the board in terms of being close to 19%? I just wasn't 100% around that?
Steve Beauchamp: Yes. So to be clear, through the second quarter, the number of clients that we have on the platform, total clients was up 19.5% year-over-year. So that's driven a mix of adding new customers and losses and ending count as the end of December was up 19.5%. And I think to just answer your question specifically; it is not skewed to any of the markets that we serve. It's really kind of across the board, a very similar mix to last fiscal year.
Mark Marcon: Great. And then can you talk a little bit about the source of the clients, just in terms of ADP and Paychex versus some regional players versus do-it-yourself? Just what do you see from that perspective?
Steve Beauchamp: Yes. Obviously, we look at that information. And what I would say is nothing stands out in terms of being an anomaly versus prior years, fairly consistent.
Mark Marcon: Okay. And then with regards to the EBITDA guidance for the current quarter; how should we think about that? Like, how should we – gross margins and the impact in terms of having a slower increase in terms of W-2s and 1095s for obvious reasons in terms of employment versus the step-up in terms of investment, both in terms of R&D and sales?
Toby Williams: Yes. Hey Mark, it's Toby. I mean, I think there's – you hit on the key elements. So one of our consistent themes throughout the year has been that we would continue to invest in the business all the way through, but specifically in sales and marketing investments that we would continue to drive growth. And from – I think particularly from sales and marketing standpoint, we would have said, pretty consistently through, sorry, at the end of last year. And through this year that in the back half of this year, we would continue to drive those types of investments. And I think that's our intention. And so that is definitely part of the EBITDA equation in the back half of the year. But I think specific to your question on W-2s, I mean, obviously for everybody in the industry, that's included W-2 revenue is fairly high margin. And so you feel the impact of that – you would feel the impact of that anyways from revenue standpoint. I think you feel a little bit of an out-sized impact because of the type of revenue that represents. So, I mean, I think that – and so I think that has a probably a little bit heavier impact than just the normal course investments that we would have been calling out pretty consistently.
Mark Marcon: Thanks for the explanation. Appreciate it.
Steve Beauchamp: Sure. Thank you. And our next question comes from Samad Samana with Jefferies. Your line is open.
Jordan Boretz: Hi. This is Jordan Boretz on for Samad. Thank you for taking my question and congrats on the quarter. So a question on the competitive environment. You previously called out that bookings trend amid startups is really strong with record new business formation. Do you think any of your competitors down market whether public or private become more aggressive around pricing or promos to capture share within that segment?
Steve Beauchamp: Sure. So when we talk about the lower end of the segment, the under 50, what I would tell you is not many of those are necessarily brand new businesses or startups. So we generally see businesses that they don't have to be super mature, but we don't necessarily get a lot of startup business because we don't really focus in that under 10 markets. So but we do pick them up kind of as they're growing and that has been pretty strong for us in that under 50 market. In terms of competitive environment, I wouldn't say there are either new competitors or very different kind of pricing models that we're seeing in the marketplace. I think it's everyone feels a little bit of the COVID headwind just from the macroeconomic environment, but at the end of the day, when someone is buying our platform and they pay us maybe a little more than $20,000 a year, these are not big payments for those customers relative to the size of their business. And so this isn't necessarily the place where you're going to save a lot of dollars and it's pretty important that they have something that allows them to save the time and connect with all their employees. And it ends up being much more of a product and service conversation than a pricing conversation.
Jordan Boretz: Got it. Thank you.
Operator: Thank you. And our next question comes from Daniel Jester with Citi. Your line is open.
Daniel Jester: Hi, great. Thanks for taking my question. On Premium Video, how has demand been out of the gate relative to some other launches recently like surveys and LMS?
Steve Beauchamp: Yes. So what I would tell you is it's been pretty similar to some of the other products, I think like LMS and recruiting are well-known HCM modules that people will buy, those both accelerated fairly quickly for us. And then newer products like surveys even looking at utilization on community and Video Premium, those are newer concepts for the market as a whole. And so, they typically can take a little bit longer to drive the penetration, but in the backdrop of COVID and everybody used to spending time on Zoom and understanding the importance of video, I mean, we've been really happy with the uptake for our January starts.
Daniel Jester: Okay, thanks. And then for Toby just going back to your prepared remarks about sort of the longer term financial aspirations for the business. I mean, do you get back on that path just by lapping sort of the toughest of the COVID pandemic pressure, and we should start to see you guys get back on that path later in calendar year 2021, or you actually need to see macroeconomic improvement, higher interest rates et cetera to kind of get back on to that glide path. Thanks.
Steve Beauchamp: Yes. Yes. It’s a good question, Daniel. I think there is some sense of a little bit of both. I mean, I think when you start to lap the compares, and as we look at our next fiscal year planning, we've talked about the ability to – and you see some of this, I think, even in the implied guidance for Q4 and we said that in the prepared remarks around the implied revenue growth rate. I mean you start to see getting back that that getting EBITDA leverage trajectory that we would have been on pre-pandemic. But I think we've also said you're not going to snap back to unless and until you see some of the employees on the platform come back in a real way, which to date we just – we haven't seen. And so I think both of those dynamics are very real in terms of how you think about the rest of this fiscal year and then as you turn over into fiscal 2022.
Daniel Jester: Okay. Thanks. And then last quick one on clarification on the guidance, what do you have in terms of macroeconomic change like stable employment base on the platform or any sort of improvements?
Steve Beauchamp: No, it's stable. I mean, I think we called out pretty specifically in their prepared remarks, you've seen on a month by month basis, there has not been a consistent trend. You'll have one month step forward, you'll take a small step back. And so, we have seen certainly mild improvements from the depths of the pandemic, but in terms of our guidance for the rest of the fiscal year, we're not assuming any improvement to what we've seen so far this year.
Daniel Jester: Great. Thanks so much.
Steve Beauchamp: Sure.
Operator: Mr. Beck, your line is open with KBCM.
Unidentified Analyst: Hi, this is Maddy on for Josh. I just had a couple of questions for you guys. When we recently attended a human capital management conference, we picked up a greater focus on HCM tools like childcare, wellness, benefits, management performance, and our remote world and new talent acquisition methods. I'm just wondering how much this has played a factor into your new client conversations you're having. And if this could be one of those factors that ultimately improves your win rate versus the legacy players, and I have a follow-up. Thanks.
Steve Beauchamp: Sure. Yes. So I think if you look at the last nine or 10 months here as we've operated in a pandemic world, you probably see a little less conversations in that recruiting bucket and finding talent. Now, there clearly are industries that are still growing. We're still adding employees as an example and finding talent important, but because a lot of these organizations are really trying to manage in a difficult environment, I would say there's a little bit less of that. I think your point on wellness, performance management, connecting with employees in a different way, and keeping people engaged that is absolutely top of mind with customers and in many ways really trying to feature for us some of our more modern capabilities, whether it's reward and recognition with impressions or our journal capability to really have a real-time conversation around performance versus waiting for that annual cycle, all play into that trend.
Unidentified Analyst: Great. Super helpful. And my second question is how permanent do you expect some of these work from home changes to be? And have you seen any change in awareness or general interest in modernizing the human capital management solutions as some people start to go back to the office? Thanks.
Steve Beauchamp: Yes, I do think that some of these trends will persist in a post pandemic world and that might manifest itself in terms of just increased flexibility that employees have. So maybe in a hybrid scenario, you might even have certain positions go completely remote. And generally speaking, people are becoming more comfortable with that. The second part of your question is, yes, that does put a lot of pressure on the tools that you use because you're not having as many in-person meetings, you're having hybrid meetings where some people are in-person and some people are remote. And so finding ways to make sure that information is available at people's fingertips, where they – whenever they need it, I think is going to be really important. Also having consistent communication across the board becomes really important. And that's where we're emphasizing at Paylocity a lot of asynchronous video capability, so that information can be shared and can be digested without having back to back to back Zoom meeting and creating that Zoom fatigue. And so we think some of those trends are defiantly going to persist long-term and the investments that we've made in products will position us with the most modern platform for the industry that we serve.
Unidentified Analyst: Thank you. Super helpful.
Operator: Thank you. And our next question comes from Robert Simmons with RBC Capital Markets. Your line is open.
Robert Simmons: Hi, thanks for taking the question. Most questions have been asked, but I was wondering how much does Samepage impact your guidance?
Steve Beauchamp: Yes, very minimal. I mean, Samepage is a pretty small business, I mean handfuls of employees and no material impact from revenue perspective on the year for sure. So, pretty minimal impact.
Robert Simmons: And then again, there is probably a little bit margin deliver there, right?
Steve Beauchamp: I mean, not in any material way. I mean…
Robert Simmons: Got it. Okay.
Steve Beauchamp: It just given the size of it and the fact that it's not significant from a revenue standpoint, there's very little impact.
Robert Simmons: Thank you very much.
Operator: Thank you. And our next question comes from Arvind Ramnani with Piper Sandler. Your line is open.
Arvind Ramnani: Hi, thanks for taking my question. I had a question about your longer term product roadmap. Certainly with LMS and community, these are launched two years back and now it’s getting to the stage where it's be used by more customers and then eventually you will find a way to monetize it. But typically your product roadmap that you start rolling out products at three to four years out. So are there certain, like, large incremental investments you're making on the product side that you think will be monetized with two to five years from now?
Steve Beauchamp: Yes, so I think we're always working in our product roadmaps on things that we think are just going to be a better experience for our customers, things that are going to drive scalability in our organization, and then of course, new modules or features that we can monetize. So there's always a balanced approach towards those three categories. We don't necessarily come out and issue a multi-year product roadmap ahead of time for competitive reasons. But I think we've definitely clearly signaled that being the most modern platform and really adapting to these new use cases that have been kind of thrust upon so many of our customers operating in a more remote fashion is key to that equation. And currently I think the thing that we've called out is integrating Samepage and building that rate into our application. So that those capabilities exist to allow our client employees to collaborate in a more efficient fashion as we drive towards monetization of community is definitely a key focus for us, and we've seen very good success with our most recent Premium Video offering.
Arvind Ramnani: Great. And then in the prepared remarks, you talked about kind of refocusing on a better growth expansion in a more normalized macro environment. And when you think of  expansion, how much of it will really come from a price – price increases versus operational efficiencies?
Toby Williams: So what I would say, we are focused, as you mentioned, investing – and Toby mentioned this investing back in product and sales. So that as we come up the other side of this pandemic, we can continue with similar momentum that we had as we went – we entered the pandemic. And you can see that we're bringing on roughly 20% new customers, 19.5% through last year. So we've got that sales engine continues to work. Your point on EBITDA is a good one. And as you see, the way we've talked about this as we can return faster to those similar revenue growth based off our ability to execute. EBITDA might take a little bit longer for us to get back because you're comping some areas like no travel for a period of time and then you start to get travel and gatherings. And then obviously each incremental employee that our clients add creates new revenue for us and there's not a lot of costs associated with that. So if the employment environment returns that's when you start to be able to build off that EBITDA cycle. So we obviously have not given guidance for next year, but we do think this happens in a bit of a two-step process where we can get back to that 20% plus revenue growth. And then we would step our way back into where we were from an EBITDA perspective and then continue marching towards our long-term stated range, which is 30% to 35% adjusted EBITDA.
Arvind Ramnani: Great. And just this last one for me. The last you have communicated about your pricing, the non-discarded pricing is around $500 per employee per year. Are you all ready to kind of talk about the next level? Or is it still too early to start talking about the next sort of level?
Toby Williams: Yes, so I think we've periodically updated that over the last several years as we've launched products to market. And so most recently we went from $400 per employee per year to $420 per employee per year. And so we are definitely making progress towards that next milestone, which for us would be that $500 per employee per year. And we'll continue with the mindset as we launched the product to market and we make it available that's when we'll kind of update the PEPY total available product in our portfolio.
Arvind Ramnani: Great. Thank you very much.
Operator: Thank you. And our next question comes from Pat Walravens from JMP Securities. Your line is open.
Joey Marincek: Great. Thank you. It's Joey Marincek on for Pat. As it relates to those investment plans, how are you thinking about hiring at this point? And then secondly, given the Samepage acquisition, can you remind us how you guys think about M&A? Thank you.
Steve Beauchamp: Sure. So on the first point, I mean, we're bullish about how our performance has been through COVID and we are in our – really the start of our hiring season right now. So we do most of our hiring in sales and marketing really in the spring, the summer time. And so we're very active in the market bringing people on board. We'll give an update obviously at the end of your call in terms of what that year-over-year headcount looks like, but we definitely feel like we're in a position to add heads and that we've been able to have success in this environment, and we want to come out the other side of it with momentum. And then we are going to hire across the business for the rest of the supporting structure ahead of time, so that we've got people trained and ready to handle those customers as they onboard. So I would say no change to our normal hiring pattern that we would have in any other given year. From an M&A perspective, so for us it's all about the customer experience when it comes to product. It really has to be an easy to use unified experience, very seamless. And so, we're not looking to make acquisitions that are kind of bolt-on products that are going to take years and years for us to integrate. In fact, we look for smaller tuck-ins scenarios where we can truly integrate that and build that right into the product suite, where from a user perspective, there is absolutely no difference. And that team, the VidGrid team is a Paylocity team that works on video and all of those modern experiences around that. And that Samepage team will integrate with our teams that we're already working on things like community, and they will just allow us to move faster. And that's the way that we kind of think about acquisitions. It's about driving ahead on the product roadmap and creating great experiences. It's not really about acquiring revenue or client basis.
Joey Marincek: Awesome. Super helpful. Thank you.
Operator: And our next question comes from Siti Panigrahi with Mizuho. Your line is open.
Siti Panigrahi: Thanks for taking my question. My apologies if this question asked. I had some phone problem. But going back to your comment on strong January sales versus last year, I understand that we are still not recovered back fully in a macro environment, but what's driving for your customer to switch their payroll into the investment at this point? And are you seeing strength in certain verticals over others?
Steve Beauchamp: Sure. That's a good question. So there's definitely verticals as we all know that are more heavily impacted from COVID. And so for those customers that you might imagine, if you're running a restaurant with several locations in an environment where you're operating at 20% capacity, or you can only have outdoor seating is probably hard to prioritize a switch to a payroll and HR platform in that kind of environment. Having said that, we have had success bringing on customers in that vertical. So it's not absent, but that's probably not where we're seeing most activity. It's a huge TAM for us. So we have hundreds of thousands of customers that we can go after. So our sales force has been pretty effective at pivoting to industries that might be a little bit less impacted, and we've been able to drive very similar unit growth even though it might come from slightly different industries than we did a year ago. And the reasons for people switching, they've always been product and service that hasn't changed some of the features that people are looking for, some of the capabilities like community, like video, some of the newer capabilities that we've launched have become a more important part of the conversation because of the pandemic and the nature of how people are getting their work done than maybe a year ago.
Siti Panigrahi: And that's helpful. So one clarification in terms – the one you said about 3.5 to 4 million impact because of W2s. So do you process W2 based on the number of employees at end of the year or any part of the year?
Steve Beauchamp: Yes…
Siti Panigrahi: So what I'm saying somebody is like, let's say, January, February, they are employee, but they're let go. Do you still process W2s for them?
Steve Beauchamp: Yes, generally speaking. So if an employee has been with one of our clients during the course of a year, we would process a W2 for them. And I think the what we were calling out in the script was which I think is somewhat obvious based on unemployment rates and the experience that we're probably all having day to day is to the extent that the number of employees on the platform are down to the extent that unemployment is up and people aren't rehiring as they normally would through the course of the year, because of that you would have fewer employees being employed by clients through the course of the year and therefore fewer W2s
Siti Panigrahi: Got it. Thank you so much.
Steve Beauchamp: Sure.
Operator: Thank you. And this concludes the Q&A portion. I'd like to hand the conference over to Mr. Beauchamp for any further remarks.
Steve Beauchamp: Great. I'd like to thank all of you for your interest in Paylocity today, and just take a quick moment to thank all of our employees. This is definitely the busiest time of the year for us. And we've had a very busy January season and the employees are really gone above and beyond to be there for our customers. So thank you everybody.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Everyone have a wonderful day.